Operator: Thank you for standing by. And welcome to the SPX Corporation's First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Paul Clegg, Vice President, Investor Relations and Communications. Please go ahead.
Paul Clegg: Thank you, and good afternoon, everyone. Thanks for joining us. With me on the call today are Gene Lowe, our President and Chief Executive Officer; and Jamie Harris, our Chief Financial Officer. A press release containing our first quarter results was issued today after market close. You can find the release and our earnings slide presentation as well as a link to a live webcast of this call in the Investor Relations section of our website at spx.com.  I encourage you to review our disclosure and discussion of GAAP results in the press release and to follow along with our slide presentation during our prepared remarks. A replay of the webcast will be available on our website until May 11. As a reminder, portions of our presentation and comments are forward-looking and subject to Safe Harbor provisions. Please also note the risk factors in our most recent SEC filings, including our disclosures related to the ongoing COVID-19 pandemic. Our comments today will largely focus on adjusted financial results, and comparisons will be to the results of continued operations only. You can find detailed reconciliations of historical adjusted figures to their respective GAAP measures in the appendix to today's presentation.  Our adjusted earnings per share also excludes nonservice pension items, amortization expense and investment gain, certain favorable discrete tax items and other strategic related items. Finally, we will be conducting virtual meetings with investors over the coming months, including at the Loop Capital Investor Conference in New York on June 2. And with that, I'll turn the call over to Gene.
Gene Lowe : Thanks, Paul. Good afternoon, everyone, and thank you for joining us. On the call today, we'll provide you with a brief update on our consolidated and segment results for the first quarter. We'll also provide an update to our full year guidance, which includes the impact of our most recent acquisition. Now I'll touch on some of the highlights from the quarter. We had a stronger-than-anticipated start to the year, exceeding the overall expectations that we laid out during our last call in February. As expected, we continue to see challenges related to production and labor, but we've also seen improvements throughout the quarter and expect further improvements during the remainder of the year, particularly in the second half. During the quarter, we continued to execute on our value creation framework with another strategic acquisition that further builds and strengthens our age to navigation or AtoN business in our Detection & Measurement segment. We believe that International Tower Lighting, or ITL, is an excellent strategic addition to our existing AtoN platform.  Today, we are updating our full year guidance for the acquisition of ITL, which we completed on March 31. We are on track to achieve solid earnings growth for the full year, approximately 16% at the midpoint of our updated range. As a reminder, when we initiated our 2022 guidance, we indicated that Q1 would be low versus the prior year due to the timing of certain project revenue in Detection & Measurement and the impact of a customer rate case on our ULC business. For the quarter, our operational outperformance versus expectations was due to upside in our location and inspection and transportation platforms, including the impact of some earlier-than-anticipated transportation deliveries.  Overall, we continue to see strong demand across our markets, and managing production constraints remains a key driver of our full year performance. In summary, I am pleased with our results for the quarter and our positioning for the future with significant capital availability and attractive M&A pipeline and several ongoing organic growth and continuous improvement initiatives, SPX is poised to continue driving value for years to come. As always, I'd like to touch on our value creation framework. We continue to make progress in a number of areas during Q1. Our digital initiative progressed further during the quarter, particularly in our Location & Inspection platform, where the value proposition of our data offerings is gaining significant traction with utilities and other customers.  Our continuous improvement, or CI, initiatives remain critical to our management of the current supply chain and labor constraints as well as our integration processes for new acquisitions. Several of our CI initiatives over the last two years have been focused on throughput and sourcing, which have helped us to navigate the current environment. During Q1, we saw the benefit of these initiatives and the ability of our businesses to meet customer demand in the face of continued challenges. Our ESG initiative also continues to gain traction and shares many benefits with our CI initiatives. As an example, our primary U.S. cooling plant drove savings in net input costs when it invested in a recycling process to eliminate 950 tons per year of wood waste from pallets and crates. We also worked with a third party to transform 625 tons per year of PVC scrap into eco-friendly stacking material. We also continue to advance our growth initiatives in Q1, further building out our AtoN platform with the acquisition of ITL. ITL adds approximately $18 million of annualized revenue to our Detection & Measurement segment at accretive margins. It strengthens our terrestrial lighting business, Flash Technologies, with a broader set of high-quality obstruction lighting as well as parts and services, including value-added monitoring and communications. We are very pleased to welcome the ITL team to the SPX family. Since our first acquisition within our AtoN platform in early 2019, we have transformed a roughly $50 million North American obstruction lighting business into $150 million global end-to-end age navigation market leader. With our enhanced scale, global presence and broad technology and product expertise we offer our customers greater value-added solutions that are helping us win in our end markets. Before moving on to Jamie's discussion of our results, I'd like to take a moment to review our capital deployment strategy. Since early 2021, when we committed to the process of selling the Transformer Solutions business, we have made four highly strategic acquisitions within our HVAC and Detection & Measurement segments, ECS, Cincinnati Fan and ITL. These additions expand our market presence and our growth and margin profile while creating significant opportunities to benefit our customers, employees and shareholders. Our Transformer Solutions was a profitable business for us and experienced cyclicality in its results. As we discussed at the time of the disposition, our strategic goal was to redeploy capital into higher growth, higher margin businesses that are more aligned with our strategic platforms. As we monitor the strategic redeployment of this capital on a pro forma basis, we believe we have replaced approximately 60% of transformer's average segment income. We are especially pleased that we've been able to acquire businesses with significantly higher margins and growth opportunities at reasonable multiples. We are very excited about our progress to date and our opportunities to continue executing on the strategic transformation of SPX as we work towards the 2025 targets that we shared in June of 2021.  Our business development team remains busy, and we continue to have a strong front log of acquisition prospects and substantial capital available to deploy. And now I'll turn the call over to Jamie to review our financial performance in detail.
James Harris: Thank you, Gene. As Gene noted, our adjusted EPS of $0.40 exceeded our internal model and previously communicated expectations. As discussed last quarter, our Q1 results were constrained by the timing of project orders in contact and the impact of a rate case in our ULC business. In addition to the segment income drivers, which I will review later, some below the line items had a modest impact on our year-on-year earnings, including lower corporate and interest costs and a higher tax rate. Overall, we are pleased with our performance for the quarter and believe we are well positioned for the full year 2022. A review of our adjusted segment results reflect stronger-than-anticipated performance, but as expected, with an overall decline in segment income and margin when compared to the prior year. Revenues increased 6.9%. Revenues from the acquisition of Sealite, ECS and Cincinnati Fan accounted for 9.9%, while our organic revenues decreased 2.5%. As anticipated, organic revenue decreased due to lower Detection & Measurement revenue, although it was better than expected. This was partially offset by price increases. Price cost was a modest margin headwind for the quarter. For the full year, we currently anticipate price cost to be a modest tailwind. The lower organic revenue, combined with production constraints in HVAC, drove a decline of $7.4 million in segment income and a 350 basis point decline in margins.  Segment revenue, income and margins reflect the blended impact of acquisitions and lower overall organic revenue. Let's now review the details of our segment results. In our HVAC segment for the quarter, revenues increased 10%, driven largely by our acquisition of Cincinnati Fan and a modest organic increase. While overall demand was strong across our end markets, the impact on our results is moderated by supply chain challenges, primarily in heating and labor in both heating and cooling.  Organically, cooling revenue declined modestly with stronger pricing offset by moderate decline in volume. Heat revenue grew solidly with strong revenue and strong growth in revenue largely due to pricing, partially offset by lower electrical heating volume and revenue. Adjusted segment income and margin decreased by $2.4 million and 240 basis points. As mentioned, while managing these constraints remains a critical factor in our full year performance, we have seen and continue to see some improvement in both areas. In Detection & Measurement, revenues were up 2.2% year-over-year. The acquisitions of Sealite and ECS drove a 10.3% increase, while organic revenues declined 7%. We also experienced a higher-than-typical currency impact due to the strengthening U.S. dollar, a 1% translation headwind. As we indicated would be the case, the decline in organic revenue was due to the timing of Comtech project shipments and lower ULC revenues. Even so, the performance for Q1 exceeded our expectations due to strong locator sales and early delivery of transportation projects initially anticipated for midyear. Adjusted segment income decreased $5 million, while margins decreased 480 basis points due to the lower revenue, particularly the timing of contact projects, which carry high incremental margins. For the remaining quarters of the year, we continue to expect higher year-on-year segment income. Overall, we continue to see significant demand in both our run rate and project businesses. We see the primary driver of full year results for the Detection & Measurement segment being the timing of project orders and shipments. Turning now to our financial position at the end of the quarter. Our balance sheet remains strong, and we continue to have more cash than debt. Notable cash uses this quarter included a $42 million acquisition of ITL, strategic investments in inventory associated with managing supply chain constraints and various other items associated with discontinued operations and reducing our exposure to legacy liabilities. For the full year, we continue to anticipate a solid free cash flow performance with the bulk of cash generated in the second half of the year. Overall, our balance sheet and available liquidity place us in a strong position to continue our organic and inorganic growth initiatives. As a reminder, we have a $100 million share repurchase authorization. We have in place a program under which we may engage when appropriate and opportunistic share repurchases included on the open market as part of our capital allocation policy. Moving on to guidance. We have updated our full year 2022 guidance to reflect the ITL acquisition, which we anticipate will add approximately $0.05 per share to EPS based on nine months ownership. While our prior guidance included a modest amount of direct roughly trained revenue exposure, we have removed this from our current guidance, offset by better operational execution trends. We now estimate adjusted earnings per share in the range of $2.55 to $2.85. This represents an increase of about 16% at the midpoint, $2.70 compared with 2021 adjusted EPS of $2.33. As a reminder, we have approximately $270 million of cash on the balance sheet. If we use our cash to repay debt, our midpoint EPS would be approximately $0.11 per share higher. As always, you can find modeling considerations in the appendix of our presentation. We have made some modest adjustments to interest costs, tax rate and other factors. Together, these have no material effect on our net results. I will now turn the call back to Gene for a review of our end markets and his closing comments.
Gene Lowe : Thanks, Jamie. We continue to monitor and manage through macro risks, including supply chain, input cost inflation, labor and the exacerbating effects of geopolitical tensions and regional pandemic restrictions. We also remain encouraged by the strong level of demand and the positive trends we are seeing in our end markets. These include growing opportunities related to spending on infrastructure and digital offerings and the efficiency benefit they provide in the skilled labor shortage market. In HVAC, several macro indicators point to continued strength in non-resi activity, particularly in the U.S. as they pertain to our cooling and commercially focused heating businesses. In our boiler business, which encompasses both residential and non-resi products, we continue to see strong order demand across the board. In Detection & Measurement, locator demand continues to reach new levels of strength and to benefit from our internal growth initiatives. Overall, AtoN demand remains steady. We're also seeing growing interest in our innovative comment or communications intelligence solutions. We're assessing the timing of potential customer needs. In summary, I am pleased with our better-than-expected Q1 performance and proud of the way our team has continued to execute on our initiatives for future growth. I'm excited about our recent acquisition of ITL, which further extends our AtoN platform and creates additional growth opportunities and value for our customers.  I'm also encouraged by our setup for the remainder of the year while remaining vigilant in addressing the current macro risks. With a strong balance sheet and a highly capable, experienced team, I'm looking forward to the opportunities that lie ahead as we continue to create and deliver value for shareholders. And now I'll turn the call back over to Paul.
Paul Clegg: Thanks, Gene. Operator, we are ready to go to Q&A.
Operator: [Operator Instructions] Our first question will come from the line of Damian Karas from UBS. Your line is open.
Damian Karas : Hi, good evening, guys. 
Gene Lowe : Hey, Damian 
Damian Karas : Gene, you mentioned you're still seeing challenges out there in the supply chain, but you're seeing some signs of improvement. Could you maybe just talk a little bit more about that? Where are you seeing the improvement versus where -- is it still a struggle out there? 
Gene Lowe : Yeah. I think at a high level, what I would say is internally what we've done and how we've managed, I'd say that we feel very good about the actions that we've taken and the countermeasures we're putting in place from a whole host of different levers we've been pulling from investing in some safety stock, engineering, alternative component solutions, looking at our reorder rates in terms of how we manage our orders with data and analytics across all of our businesses.  There's a lot of levers that we have pulled. And I'd say that combined with what we're seeing is just a little bit of modest improvement in the market overall. I'd say the one item that would be a headwind that we are seeing right now would be some of the China lockdown in Shanghai. But Jamie, you spent an enormous amount of time on this. Do you want to give some color here?
James Harris: Yeah. Thanks, Gene. Yes, we are -- we are seeing some modest improvements. If you look back, we really felt supply chain more prevalent in our cooling, which I'll include some labor there, as well as some stainless and in our heating with just general components. On the D&M side, we have managed it very well. It really hasn't caused any disruptions. We continue to do that. Gene mentioned some of the kind of operational steps that we've taken.  You probably -- you'll notice on our balance sheet an investment in some safety stock. Year-over-year, we have about $22 million, $23 million more investment in inventory. That was intentional to try to get ahead of some of the areas that we saw some potential shortages coming in. We have not have a lot of disruption from an availability standpoint from Russia-Ukraine situations. You mentioned in China. We are experiencing some slowness in ocean freight. And so that's something we have to be very diligent on in our order times and our lead times, have to go out further than what would typically be the case. But overall, I think we're seeing, again, some modest improvement.  If you look at it from a year ago, it's clearly challenged. If you look at it from last Q3 when we first raised this issue in the call, we have seen some improvement there.
Gene Lowe : And I'd also say somewhat correlated, Damian, on the labor side, we are seeing some improvement across our facilities. And a lot of our countermeasures have been making some impact. So yeah, we're also seeing some modest improvement there as well.
James Harris: And then another thing I might add, if you look at cost, if you go back and look in the items that are prevalent in our supply chain, the year-over-year costs are still up quite significantly. But if you look over the last 90 days, we're seeing some pricing of the commodity -- underlying commodities go down, with the exception of those items that have been impacted by Russia and Ukraine.  Nickel doubled quickly after the first invasion. It's back down. It's up about 20% since that time. Of course, crude oil is up. So those things are directly related. We're seeing some continued price increase. But in many other areas, we're actually seeing some prices come down over the last 90 days, which is encouraging.
Damian Karas : That's helpful. And that's actually a good segue to my next question. I think you mentioned earlier that you're actually expecting price cost to be a tailwind for the year, which is interesting considering there's, I think, general inflationary pressure still out there. So have you been aggressive on pricing? Or is it what I think you just kind of alluded to that you're maybe actually expecting to have lower costs -- material costs through the rest of the year? And is that kind of reflected in your updated margin guidance?
James Harris: Yeah. I would say we have been aggressive on price. We -- last year, I think for everybody, it was hard to keep up with some of the price, some of the cost pressures, but we've got into a really good cadence. We have been, again, aggressive to cover costs with our customers given the fact that highly engineered products were often especially ordered. That gives us some better pricing power in the marketplace, if you will. That said, costs, again, we have seen some decline over the last 90 days even in the base commodity. We still have some backlog to work through that the good news is our backlog was up substantially year-over-year, but there is some backlog to work through with some pricing pressure on it.  To the point about seeing costs go down, we're looking at that as part of our guidance. We've taken what we see the risk factors of price escalation and availability as well as potential pick up because of some -- maybe some cost reductions. All that's baked into our guidance. So I'd say we're optimistic about it, but there's still a lot of work to do.
Damian Karas : Great. Thanks for the details. I’ll get back in queue. 
James Harris: Thank you. 
Operator: Our next question will come from the line of Bryan Blair from Oppenheimer. Bryan, your line is open. Bryan Blair from Oppenheimer. All right. Our next question will come from the line of Steve Ferazani from Sidoti. You may begin. 
Steve Ferazani : Hi, good evening, Gene, Jamie. I wanted to ask. It sounds like demand remains very healthy. I'm trying to think about risks of a rising rate environment and impact down the road on demand. I know you have significant aftermarket exposure, significant infrastructure exposure, which helps into 2023. But how are you thinking about the demand equation and maybe particularly on non-resi construction in the environment where you appear to be anchoring?
Gene Lowe : Yeah, sure. Steve, I'll take that. I think, as you know, if you think about our HVAC business, I would say it's in a very healthy position. So this is approximately $900 million business. More than $700 million of that is non-resi, and all of the submarkets that would be a part of that, hospitals, data centers, commercial.  If you look at the Dodge Index, the latest projections are about 9% growth in '22 and around 11% growth in '23. Additionally, some of the more leading indicators, the more canary, the coal mines there also look positive. That would be the Dodge Momentum Index, the ABI, the architectural billings. So overall, I would say we feel good. Obviously, we have to keep our eyes on the macro. But if I look across our HVAC businesses, we feel very solid. The other question that we always look at on our hydronics side, our boiler side, is the stocking of the channel, is the channel overstocked, understocked. And we actually feel like we're in a good position there. The channel is very much wanting more of our product and to be ready for this year.  That's something we have to keep our eyes on in 2023 to make sure the pull-through demand is there. But as you know, a good chunk of that, a big portion of that business is largely replacement. So when I sit and look at the HVAC segment, I actually feel really good about what we're seeing over the next 1.5 years with how things are forming in front of us. On the D&M side, I would say it's overall very healthy. The run rate is very solid. Our projects are strong and our backlog supports '22. And I would say what I see today sets us up very well for '23 and beyond. Some of the project businesses, I'll call out transportation and context, specifically have a higher amount of activity. And we have some larger wins and some -- also some impacts from the infrastructure bill that we see starting to manifest. So I think when I look at D&M, I actually feel very positive about where that's going. Now I'll caution all of this with if everything were to slip into a recession, that's something we have to keep our eyes on. As you know, from when COVID hit, also when we've looked at this in 2008, our businesses tend to be more resistant to recessions because a lot of our products are safety products, are mandated by government regulations.  And so the products are less discretionary. That's not the case across all of our businesses, but there's a substantial amount. So as a reminder, when we went through the first year of COVID, actually, our earnings were flat despite a lot of markets facing some real headwinds.  So where we sit today, we feel good. And we are keeping our eyes on if there is any economic impacts and smartly managing that if that were to happen.
Steve Ferazani : Fantastic. And if I could then use that as the framing device for the question in terms of pipeline. What's out there? And do you see any impact on maybe lower prices for certain acquisitions given the environment or certainly the idea that there's more risks out there? 
Gene Lowe : Yeah. That's a good question. I think overall, we feel really good about our growth strategy. We closed ITL. That's our 11th deal. That was a great strategic fit. They've got really good technology, really good network operation center, monitoring capabilities. And as you know, our average over our 11 deals has been 10.5 times pre, 8.5 times post. I think we feel really good about that pricing. We've been very disciplined there. I don't see changes at least from what we've seen in front of us below that. We actually see in -- particularly in our Detection & Measurement businesses, you get into some larger sizes, so much, much higher multiples. We're fairly careful and focused about where we build out our platforms. But if I look at it, if you look at our HVAC and Detection & Measurement businesses, these are in the neighborhood of $700 million at the time of spin. That's 6.5 years ago. We're sitting today at about $1.4 billion. And right now, we're sitting here with, as you know, an incredibly strong balance sheet. So we really have an attractive opportunity in front of us. And I'd say the areas that we see a good amount of activity would be in the Location & Inspection platform. We see some opportunities there to continue building. I'd say our cooling or engineered air quality, I'd say there's good opportunities for growth and adjacencies there. And then our Comtech business, where we did our first bolt-on last year, which is performing -- which is really opening some doors, we're really seeing the synergy opportunity there. We actually see some nice opportunities there as well. So those would be, I'd say, three of the platforms that we see some attractive opportunities in front of us. But overall, we feel really good, and we feel like we're in the early innings of our value creation model there.
Steve Ferazani : Great. Thanks for the color, Gene. 
Gene Lowe : Sure. 
Operator: Our next question will come from the line of Walt Liptak from Seaport. You may begin. 
Walter Liptak : Hey, thanks. Good evening, guys. 
Gene Lowe : Good evening. 
Walter Liptak : So I would like to ask first about the HVAC business. It sounds like the macro is going in the right direction. So at this point, now that we've got three-four months under our belt, how are you feeling about the guidance range? Is there enough macro out there, enough projects that are filling up the queue that you could be towards the mid-range or high part of the range? Any thoughts there? 
Gene Lowe : And you're talking about engineered quality or Cincinnati Fan? Is that what specifically you're talking about?
Walter Liptak : No, no. I'm talking about the HVAC segment as a whole. And just the -- I'm sorry, yes, the $855 million to $890 million in sales. And just wondering, how are the projects filling up? It sounds like the macro is going in the right direction. I guess maybe the question is, what takes us to the low end of that range? And what gets us to the high end of that HVAC guidance range? 
Gene Lowe : Yeah. Why don't I start there? I would say on the demand side, and as you'll see in our bookings and our backlog, we are winning in the market. And we feel very, very good about the demand profile as well as the value proposition of our products. And I thought you said EAQ, engineered air quality, our newest product line, where we're also seeing very strong demand there since we've taken them over the past quarter. So I would say the constraining factor for us is not going to be orders. It's going to be getting the product out the door. And so Jamie or Paul, do you want to kind of give a little more color on what it would take for those ranges?
James Harris: Yeah. I'd say as Gene said, I think what might take us to the low end of the range obviously is a slowing of the macro economy slightly. But we do have a lot of orders booked, so we'll be able to complete those. But really, the labor -- the labor pool, being able to get the labor in to get productivity and difficulties in supply chain would take us to the lower end.  I think what would take us to the higher end as we -- really the same factors going in a positive direction. I think if we can continue some of the momentum that we're beginning to see build with some labor availability, continue to see some supply chain improvement, that would move us towards the top-end. And I think if we were to see prices move in a positive direction, i.e., down with some of our key components that would also help us. One of the constraints that we have from a margin perspective right now is we do have some backlog to work through that's got current pricing, some current costs, but some pricing that was put in place back in the fall. So as we see some of our costs potentially move down, that would clearly help us move towards the upper end.
Walter Liptak : Okay. Great. Thanks for that. And switching over to the D&M segment. What do you attribute the locator growth to? And is that something that's sustainable in the second quarter, second half?
Gene Lowe : Yeah. I think Location & Inspection, I feel really good about that platform. As you know, that's our dominant platform in Detection & Measurement, that's, let's say, 60% of our -- or more than half of our segment. I would say locators, which would include ground penetrating radar as well as our Shanstead brands, really have just done very nicely. I think they've done good on innovation, and I think they've done really good on digital. We've rolled out a new digital solution there for that with our largest customer. That's going very well, and we're seeing a good amount of activity there and very strong interest with some other customers. If I go to our CUES brand, really the underground robotics, we also have a digital offering where we had a cloud offering that we introduced last year that we won double-digit customers. And it is continuing this year and even moving faster. So overall, I feel very good about where we are there and the opportunities we see in front of us.
Walter Liptak : Okay. Great. Okay. And also in D&M, you mentioned the project work that there's a good funnel there for projects. If we do see orders come in, would those be for shipment at the end of the year, 2023? What do you think the timing could be? 
Gene Lowe : So some of the bigger ones that we see and some that we've -- we're progressing nicely on or been verbal on are, one, I would say the demand profile for transportation has increased the run rate, and then we're seeing more just of the midsized projects there. That would be a project that could be $1 million to $5 million, let's say. But then the very large projects, the $15 million plus, what we call the megas, we're seeing more activity there. And we feel very good about a number of those. What I would say is for those, I can think of several of those that we're currently in the process of. We would likely be awarded and booked in this year, but the -- in terms of revenue impact, I'd say it'd be a combination of 2023 and 2024, if you look at it. And it's going to be a really nice tailwind for our transportation business. And then similarly, the one business that we've called out that has been -- I would say, that has been very flattish on growth has been our Comtech business. And where we sit today, we have seen a nice tick -- uptick in some of these larger projects. And so this is something that we're tracking as well.  So yeah, we feel like the projects that we have in front of us for 2022, we feel very good about. And then as we look ahead to '23 and '24, we actually think that's going to be a tailwind for us.
Walter Liptak : Okay, fine. Okay. Thank you. 
Operator: [Operator Instructions] Our next follow-up will be from the line of Damian Karas from UBS. You may begin. 
Damian Karas : Hey. Just a few follow-up questions here. So the last few quarters, I recall you calling out the backlog. Maybe you could just -- was wondering if you could give us an update there. Have you started working down that backlog or still building out?
James Harris: Yeah. I would say we're working it sequentially. As an example, our backlog here -- sequentially, our backlog on an organic basis, taking out acquisitions, was up 10% to 15% range, which is good. So we're able to get through some backlog. I think the really good news is we replaced that backlog with new orders. And as an example, our order base sequentially was actually pretty flat in our heating side of the business. Coming out of a strong demand quarter moving into a strong order quarter in Q1 actually makes us feel really good about the demand profile there. And so I would say order book is good. We are working down the backlog not as rapidly as we would like. But we still do have some productivity constraints from the labor and some components. But I'd say it's growing well more so because of demand and we're solid on production.
Gene Lowe : Yeah. And one thing I would also add is there was a pretty fair amount of COVID impact in January. So if you look at the amount of quarantining and some of the challenges there, it was very disruptive. And if you look at the run rate that we're currently tracking at in February and March and April, we are working down more of that backlog. So we actually believe we're on a more favorable trend there.  So I think we're still winning in the end markets, and we are starting to make a dent in that backlog. But it did grow. So it is -- and that's the good news, bad. The good news, you win a lot of business but you still got to get it out the door. And I think we are making progress towards accelerating that.
Damian Karas : Got it. Makes sense. And then, Jamie, you mentioned if you pay down the debt, that's $0.11 of additional EPS. And then you kind of dangle this carrot out there on the $100 million of share repurchase authorization when you deem appropriate. So I'd just ask you guys, when is the appropriate time? Stocks corrected a good bit. You've got net cash on the balance sheet. When would be an appropriate time?
James Harris: Yeah. That's a great question. We have a lot of feedback about a share repurchase from folks, and look, we've been watching that ourselves. Stocks down 25%, 30% off its high. We feel like the stock has good value in it. We have moved to a -- not only do we have the authorization. We have all the execution mechanisms in place. We've got some price targets in our mind about what that number should be. And we'll watch it closely, and we'll be in the open market if we hit those.
Gene Lowe : And what I'd also say, Damian, is as you know, our focus since the spin has been on investing for growth. We think we have a really good flywheel here. And we -- particularly with the completion of the disposition of really our power, we really have some attractive segments. But as you know, we have $1 billion in -- or more than that in terms of balance sheet. And I actually think that share repurchases is a very logical addition to our portfolio of capital allocation. And I still think the vast bulk of our investments will be in growth, but particularly with where our share price is today, I think it's very logical to have that as a portion of our capital allocation program.
Damian Karas : Thanks again. Have a great evening. 
Gene Lowe : You too, Damian. 
James Harris: Thanks, Damian. 
Operator: Thank you. I'm not showing further questions in the queue. I'd like to turn the call back over to Paul Clegg for any closing remarks.
Paul Clegg: Okay. Thank you, everybody, for joining us. And we look forward to catching you up again next quarter. Have a great evening.
Operator: This concludes today's conference call. Thank you. You may now disconnect. Everyone, have a good day.